Operator:
Deborah Crawford:
Mark Zuckerberg:
Sheryl Sandberg:
David Ebersman:
Operator:
Douglas Anmuth – JPMorgan:
David Ebersman:
Mark Zuckerberg:
Operator:
Ben Schachter - Macquarie Group:
Mark Zuckerberg:
David Ebersman:
Operator:
Heather Bellini – Goldman Sachs Group Inc., Research Division:
Sheryl Sandberg:
Mark Zuckerberg:
Operator:
Carlos Kirjner - Sanford Bernstein:
David Ebersman:
Mark Zuckerberg:
Operator:
Youssef Squali - Cantor Fitzgerald:
David Ebersman:
Sheryl Sandberg:
Mark Zuckerberg:
Operator:
Scott Devitt - Morgan Stanley:
David Ebersman:
Operator:
Mark Mahaney - RBC Capital Markets:
Mark Zuckerberg:
Operator:
Ross Sandler – Deutsche Bank Securities Inc.:
David Ebersman:
Operator:
Neil Doshi - Citi:
Mark Zuckerberg:
Sheryl Sandberg:
David Ebersman:
Operator:
Brian Nowak - Nomura:
David Ebersman:
Sheryl Sandberg:
Operator:
Justin Post - Bank of America Merrill Lynch:
David Ebersman:
Operator:
Jordan Rohan – Stifel, Nicolaus & Company, Inc.:
Sheryl Sandberg:
Jordan Rohan – Stifel, Nicolaus & Company, Inc.:
David Ebersman:
Operator:
Brian Pitz - Jefferies & Company, Inc.:
Mark Zuckerberg:
Deborah Crawford:
Operator:
Kenneth Sena - Evercore Partners:
Sheryl Sandberg:
David Ebersman:
Sheryl Sandberg: